Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2010 Gildan Activewear Earnings Conference Call. My name is Geri, and I'll be your coordinator today. [Operator Instructions] I would now like to turn the conference over to your host for today, Ms. Sophie Argiriou, Director of Investor Communications. Please proceed, ma'am.
Sophie Argiriou: Thanks, Geri. Good morning, everyone, and thank you for joining us. Earlier this morning, we issued our press release announcing our earnings results for the second quarter of fiscal 2010 and our interim shareholder report containing management’s discussion and analysis and consolidated financial statements. These documents will be filed with the Canadian securities regulatory authorities and the U.S. Securities Commission and are also available on our website at www.gildan.com. Joining me this morning are Glenn Chamandy, our President and Chief Executive Officer; and Laurence Sellyn, our Executive Vice President and Chief Financial and Administrative Officer. Laurence will be providing you with an overview of our second quarter financial results and our business outlook. At this time, I would like to remind everyone that certain statements included in this conference call may constitute forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve unknown and known risks, uncertainties and other factors, which could cause actual results to differ materially from future results expressed or implied by such forward-looking statements. We refer you to the company’s filings with the U.S. Securities and Exchange Commission and Canadian securities regulatory authorities that may affect the company’s future results. I would now like to turn the call over to Laurence Sellyn.
Laurence Sellyn: Good morning. This morning, we announced very strong financial results for our March quarter. Our results reflected a strong recovery from the second quarter of last year and continuation of our positive momentum over the past four quarters, with EPS of $0.41 a share versus EPS of $0.06 a year ago. Earnings were a record for the second quarter of the fiscal year, and were better than our internal expectations for the quarter, as well as being ahead of analyst estimates due to more favorable than anticipated market conditions, which we had not assumed in our projections. In addition, we announced that we had received two major vendor awards from Walmart at its Annual Supplier Summit in New York. These much-prized awards reinforce the recognition we have now built with Walmart and other retail partners for product quality, innovative product development and supply chain excellence. We have announced further new retail programs and continue to feel very positive about our positioning with retailers and our pipeline of opportunities in the retail channel. Our EPS growth compared to the second quarter of last year was driven by strong growth in unit sales volumes and more favorable product mix for activewear and underwear, which together positively impacted EPS by $0.22 per share and more favorable manufacturing costs and in energy costs, which impacted EPS by $0.21 a share. These positive factors were partially offset by the $0.03 per share negative impact of transitional manufacturing efficiencies due to the Haiti earthquake and higher selling, general and administrative expenses, which impacted EPS by $0.07. Selling, general and administrative expenses declined as a percentage of sales compared to the second quarter of last year. Sales in the second quarter amounted to $327 million, up 33.5% from last year. Sales of activewear and underwear increased by 51% due to higher market share in the U.S. wholesale distributor channel; the non-recurrence of distributor destocking, which occurred in the second quarter of fiscal 2009; a 3.4% increase in overall industry demand in the U.S. distributor channel; a 55% increase in unit shipments in international and other screenprint markets; more favorable activewear product mix, reflecting a higher proportion of fleece products and a lower proportion of second quality products; and a significant increase in shipments of underwear and activewear to retail customers, which more than tripled compared to the small base in the second quarter of last year. Gildan's market share for all product categories combined according to the S.T.A.R.S. report was 64.4%, up from 57.3% in the second quarter of last year and 50.1% in the second quarter of fiscal 2008. The second quarter was the first fiscal quarter for over two years to benefit from positive growth in overall industry demand in the U.S. distributor channel. The positive trend in industry demand continued to strengthen every month during the quarter and has continued into April. Preliminary S.T.A.R.S. data for April shows 6.6% growth in total industry shipments. However, industry shipments in the U.S. distributor channel were still approximately 20% lower than in the second quarter of fiscal 2007, and our gains in market share are expected to provide us with significant future sales growth potential if overall demand in the U.S. distributor channel recovers to historical levels. In spite of the restocking of the U.S. distributor channel, which occurred in the second quarter, overall distributor inventories were still down by 5.5% compared with a year ago and were in good balance. In addition, Gildan’s share of inventories at 50.9% was significantly below our share of market, so the screenprinter demand for our brand continues to significantly exceed our share of inventories in the channel. Average unit net selling prices in the U.S. distributor channel, excluding the impact of favorable product mix, were essentially flat compared to the second quarter of fiscal 2009. Selling price increases averaging approximately 3% have been announced to take effect on July 5, 2010, in the U.S. distributor channel in order to moderate the impact of higher costs and in energy costs in the cost structure of manufacturers. Our cotton costs are essentially covered through forward purchase contracts for the balance of the 2010 fiscal year. Costs in the third quarter are expected to be approximately $0.65 per pound and to be approximately $0.73 per pound in the fourth quarter. We reported a 16.3% decline in sales of socks in the second quarter due to the timing of replenishment and the transition to new retail programs. Due to the combination of new sock programs, the sell-through performance and additional shelf space for existing programs and back-to-school promotions, we are projecting a close to 15% increase in sock sales in the second half of the fiscal year compared to the second half of fiscal 2009. The second fiscal quarter is the seasonally lower sales quarter for socks, so variances in sales are not as material to the full year. As demonstrated by the Walmart vendor awards, our business model and competitive advantages to serve as retailers are now well understood and well recognized by them and are continuing to translate into a steady flow of new sales programs and opportunities. We've obtained the family fleece program at one of the major national discount retailers, an additional boys’ mass-market sock program and activewear programs for three smaller retailers under the Gildan brand. In addition, we have secured additional shelf space for existing programs and significant participation in back-to-school programs for this coming fall. Our national retail customers appear to be committed to developing the potential of their exclusive licensed brands and private label brands, and the opportunities that this will provide for Gildan together with the development of our Gildan brand in retail reinforce our confidence to continue to make major capital investments to expand production and distribution capacity in order to support our projected sales growth. We are currently carrying out the incremental expansion of the Dominican Republic facility and our Honduran textile facilities, which together will increase total production capacity in our Central American and Caribbean base and manufacturing hubs from approximately 52 million dozens at the beginning of fiscal 2010 to in excess of 60 million dozens by the end of the fiscal year based on our planned product mix. We are adding significant new sewing capacity in both of our manufacturing hubs to support our planned textile production and projected growth in sales demand for both activewear and underwear. We currently have approximately 4,000 sewing employees undergoing training as we ramp up new sewing facilities. Sewing production in Haiti is now running at over 90% of pre-earthquake production levels. The Rio Nance V expansion project is underway. This facility will further increase annual production capacity for activewear and underwear to approximately 80 million dozens when the facility is fully ramped up. The facility is expected to begin production before the end of fiscal 2011. We are also currently installing equipment to ramp up our second Honduran sock facility, Rio Nance 4. In order to support projected demand for our sock products, we are now expanding the facility over the next year in excess of our original plans. Total sock production capacity in Honduras and the U.S. is now expected to be increased to approximately 75 million dozens by the end of the third quarter of fiscal 2011. In order to meet higher-than-anticipated seasonal demand for back-to-school in the current fiscal year, we are being required to temporarily outsource production from outside contractors in the second half of the fiscal year at negligible gross margins. We have now successfully ramped up our biomass facility in the Dominican Republic and are implementing this alternative energy technology in all of our sock and textile facilities in Honduras. This project is expected to be fully implemented in all factories by the end of fiscal 2011 and will result in material savings in energy costs as well as significantly reduce our environmental footprint as part of our program to reduce greenhouse gas emissions. We also announced today that we plan to invest $20 million over the balance of 2010 and 2011 to expand the capacity of our distribution center in Eden, North Carolina, which is primarily dedicated to serving the screenprint channel in the U.S. and significantly further reduce distribution costs by investing in modern technology for automation. We are also ramping up the capacity and cost efficiency of our new retail distribution center in Charleston, South Carolina, which we acquired in November 2009. In addition, we will consolidate the majority of our retail sales and sales support functions at this location. In addition to these investments in capacity expansion and cost reduction for our Caribbean base and the Dominican Republic manufacturing hubs, we also announced on March 31, 2010, that we've completed the $15 million acquisition of a small manufacturing facility in Bangladesh to produce high quality ring-spun T-shirts for our Asian and European markets. Over time, we expect to make further strategic investments in the expansion and development of our manufacturing hub in Bangladesh. We are currently beginning the first phase of expansion of our new Bangladesh facility to approximately 3.5 million dozens of annual production capacity, as well as Gildanizing the business by integrating our operating procedures, our code of conduct for corporate social responsibility and our standards for environmental compliance. We continue to be committed to our business model to rely on our manufacturing hubs in the Western hemisphere to service our North American replenishment markets for high-volume basic products as these markets require capital-intensive large-scale manufacturing and fast and flexible response to changes in customer replenishment. The role of our Asian manufacturing hub will primarily be to support freight-logical geographical markets to which Bangladesh provides duty-free access. Our choice of Bangladesh as a strategic location for our Asian manufacturing hub was the result of extensive analysis and due diligence of the cost structures and industry conditions for textile manufacturing in different countries in Asia. Assuming the continuation of more favorable market conditions, we have updated our sales and margin guidance for the full 2010 fiscal year to reflect higher sales volumes and more favorable activewear selling prices than previously projected, including the impact of the selling price increase announced with effect from July 5. Compared to the full-year outlook provided in February, the net positive gross margin impact of these favorable sales variances in the second half of 2010 will be partially offset by short-term inefficiencies due to the ramp-up of new sewing facilities and the outsourcing of back-to-school programs, slightly higher than projected energy costs and the impact of currency fluctuations on international sales. Sales for the full year are currently forecast to be approximately $1.3 billion, and gross margins are expected to be close to 27% for the full year compared to our previous projections of sales of $1.2 billion and gross margins of 26%. Due to stronger-than-expected sales volumes in the second quarter and the loss of production due to the Haiti earthquake, activewear inventories at the end of the second quarter are below optimal levels to meet sales demand in the peak summer selling season for T-shirts in particular, if industry conditions continue to show improvement. However, with our acceleration of textile and sewing capacity expansion, we are seeking to position ourselves to be able to capitalize on sales demand if sales demand is stronger than anticipated in the fourth quarter of the fiscal year. While it is premature at this time to provide guidance for modeling assumptions for fiscal 2011, we would like to address investor questions regarding the impact of recent significant increases in the cost of cotton. Every $0.01 increase in the cost of cotton compared with our projected full-year cotton costs of approximately $0.54 per pound in fiscal 2010 will negatively impact EPS by approximately $0.03 at current consumption volume levels. December cotton futures are currently trading at approximately $0.77 per pound. Although gross margins are expected to be lower in the second half of fiscal 2010 than in the first half of the year due largely to the impact of higher cotton costs, the company currently expects to fully offset the impact of anticipated higher year-over-year cotton costs in fiscal 2011 compared to fiscal 2010 as a result of selling price increases and projected gains in manufacturing efficiencies. Every 1% increase in activewear net selling prices is estimated to increase EPS by approximately $0.08 per share at current sales volume levels. The company is also projecting to achieve significant manufacturing efficiencies in fiscal 2011 compared to fiscal 2010 due to the completion of the ramp-up of sock manufacturing in Honduras and completion of the ramp-up of new sewing factories, the non-recurrence of the inefficiencies in fiscal 2010 due to the earthquake, the impact of the biomass project in the Dominican Republic and other supply chain efficiencies. In addition, the Charleston and Eden projects are expected to result in significant savings and distribution expenses. Finally, management will be meeting with our Board of Directors in the fall to present the annual updates of our long-term strategic plan, including a discussion of the company's capital structure and potential options for utilization of cash balances. We expect to be in a position to report to shareholders on our plans for utilization of cash at the time of our December conference call.
Sophie Argiriou: We're now ready to start the Q&A session. [Operator Instructions] Operator?
Operator: [Operator Instructions] And your first question comes from the line of Eric Tracy with FBR Capital Markets.
Eric Tracy - FBR Capital Markets & Co.: If I could follow up on the retail piece, the new programs that you've talked about, maybe to quantify if we could sort of on top of the incremental $70 million that you alluded to on the last couple of quarters, sort of quantify the various programs if we could?
Glenn Chamandy: We're not going to provide quantification of these programs, Eric, due to the sensitivity with the retail customers.
Eric Tracy - FBR Capital Markets & Co.: Just broadly speaking in total in aggregate, is it possible just to get incrementally to what's that – I’m just trying to get a sense of additive over that $70 million prior. Is that possible?
Glenn Chamandy: Maybe one way to look at it is that we’re projecting in the back half of the year to have activewear and underwear shipments to be up roughly about 23% over the last year and sock sales to be up approximately 15% over last year. And that incorporates the wins and the programs that we have for back-to-school as well as additional products being sold through the wholesale market.
Laurence Sellyn: And also we're adding capacity on the basis of being confident that our retail sales growth as well as the recovery of the activewear markets will allow us to fully utilize our capacity.
Eric Tracy - FBR Capital Markets & Co.: And then just if I could turn to SG&A, sort of the assumptions that we should think about the back half of the year, I think gross margin at 27, sales out, just trying to gauge a little bit on the SG&A for the back half?
Laurence Sellyn: Well, I think you can still assume guidance of SG&A of 11.5% for the full year.
Eric Tracy - FBR Capital Markets & Co.: So no, incrementally just on the higher sales base?
Laurence Sellyn: That's right. The SG&A would be still aligned with the sales, and the leverage that we would get of the sales is partially offset by the effect of the stronger Canadian dollar and also higher incentive-based compensation due to the higher results that we’re now projecting.
Operator: And your next question comes from the line of Jessy Hayem with TD Securities.
Jessy Hayem - TD Newcrest Capital Inc.: Just wondering if you can provide any indication on the expected timing of the shipments of the new retail programs? I get the back-to-school ones, but maybe the other programs that were obtained?
Laurence Sellyn: The timing will be between July and September, mostly July and August I think will be the initial launch for the programs.
Jessy Hayem - TD Newcrest Capital Inc.: That's for the back-to-school one?
Laurence Sellyn: That's for back-to-school, yes.
Jessy Hayem - TD Newcrest Capital Inc.: And then the remaining programs that you announced?
Laurence Sellyn: Well, all the programs will start to ship in the fourth quarter of fiscal 2010, and some of them will be shipped carried over into 2011 and be our springboard to next year.
Jessy Hayem - TD Newcrest Capital Inc.: Glenn, what's going to be your run rate capacity for the current year, fiscal year '10?
Glenn Chamandy: Well, right now our current run rate as we speak today is roughly about 56 million dozens annually. This year, we'll still end up producing approximately 52 million dozens for the full year, but we're running at around a 52-million-dozens run rate now. We should exit the year at a run rate around 60 million dozens, and the capacity that we’ll have available for us next year is probably going to be a little in excess of that as we fully ramp up all of the initiatives, and that's in activewear and underwear. There's another 2 million dozens currently being produced on an annualized basis in Bangladesh, and that will be ramped up over the next 12 months to probably about 3.5 million dozen. And we're projecting to ramp up our Rio Nance 4 facility, which will be completely ramped up by Q3 2011. The combined capacity there will be about 75 million dozens, and in your next year we're looking roughly about 65 million dozen. And the purpose for us -- we feel very comfortable based on the order flow, the potential opportunities for us in retail, a momentum in wholesale -- we feel very comfortable with all these capacity expansion plans.
Jessy Hayem - TD Newcrest Capital Inc.: And I just wanted a clarification, Laurence, on something you mentioned. Did you say the margins for the second half of this year are going to be lower than the first half? Is that obviously because of the higher cotton costs but despite the fact that you were passing on higher selling prices? I just want to make sure I heard that right.
Laurence Sellyn: Yes, that's right. And if you do the math on the 27% margins that we're guiding for the whole year, that would bring in the projected margins in the second half at around 26%. And the negatives relative to our previous forecast would be the short-term costs of ramping up some of our additional capacity inefficiencies and the learning curve as we bring on all the new sewing capacity into place, the impact of outsourcing some back-to-school sock programs, the decline in the euro. And these would be the factors that would impact margins in the second half of the year.
Operator: And your next question comes from the line of Martin Landry with Desjardins Securities.
Martin Landry - Desjardins Securities Inc.: You've mentioned that you're expecting to outsource some back-to-school program. I guess that implies that you're currently capacity-constraint. Is that correct?
Glenn Chamandy: Yes, we're just trying to meet the demand. And we’re using contractors to support the requirements for the height of the back-to-school season.
Laurence Sellyn: And there were three reasons, Martin, why this happened. One is that we’ve managed down [ph] our sock inventories previously. Secondly, we’re a little later starting up Rio Nance 4 in the context of the economic environment that existed at the time. And then thirdly, this back-to-school volume came very late in the season, so we had to react quickly to it.
Martin Landry - Desjardins Securities Inc.: And for how long do you expect to remain that way, assuming [ph] capacity constraints?
Glenn Chamandy: Well, we're wrapping up our Rio Nance 4 facility, and we should be in the position as we enter next year to have sufficient capacity to support the demand. And next year, we're going to ramp up our capacity. By the end of 2011, we'll be at a run rate around 75 million dozen, and next year, we'll have in near [ph] about 65 million dozen. So we feel very comfortable as we’re moving fast to expand capacity, and Rio Nance 4 is currently up and running today.
Martin Landry - Desjardins Securities Inc.: And secondly, your new fleece program at the large discount retailer, does that represent the largest fleece program that you've had to date?
Glenn Chamandy: It's the largest fleece program in retail for us so far, yes.
Operator: And your next question comes from the line of Perry Caicco with CIBC World Markets.
Perry Caicco - CIBC World Markets: You mentioned the industry demand in activewear and underwear is growing and obviously was very strong in March and April. I’m just wondering if there's any change in the mix of that growth in the price points, and would the revenue growth exceed, match or lag the unit growth over time?
Laurence Sellyn: I'm mixed change a little bit because of the fact that we shipped less seconds or irregular products relative to last year. But the first-quality mix is relatively stable. But we've sold more fleece products this year because of the increased market share, and some more golf shirt products relative to the overall mix continue to grow as we build those categories and take on more market share.
Perry Caicco - CIBC World Markets: So it's a generally favorable mix?
Laurence Sellyn: Yes.
Perry Caicco - CIBC World Markets: And the selling price increase announced for July 5, is there any chance that, that's delayed or altered or than any of that may have to be given back promotionally?
Glenn Chamandy: The price increase is barely representative of where the price of cotton is. In fact, we think there’s still more price leverage and opportunity for us as we go forward. We want to be actually conservative in terms of our pricing strategy. The quarter of Q2 was up about 3.4% in terms of market growth. Basically January was slightly flat to down 1%, February was up just over 3%. Then March was up 9%. And April is up 6.5%. So part of the, our strategy is that we want to make sure that we continue to see the market recovery, which is a great sign for us in terms of future opportunity. And we want to make sure that we didn't shellshock the market with too large of a price increase, but based on where cotton is running at today's level, there’s actually room for additional price increases as we go forward into next year.
Perry Caicco - CIBC World Markets: I'm wondering does the shift in sort of emphasis in your business towards retail change the seasonality of your business? And just wondering how that changes your manufacturing sort of inventory and distribution cycles?
Laurence Sellyn: Well, it's going to help our mix in the long run because a lot of the sales in retail are heavily skewed to back-to-school and holiday season. Typically for activewear, our lowest two quarters are our Q1, which is basically the October to December quarter and our fourth quarter. So that should help smooth out our sales on a annualized basis as we continue to grow the retail strategy.
Operator: And your next question comes from the line of Kenric Tyghe with Raymond James.
Kenric Tyghe - Raymond James Ltd.: Laurence, I wonder if you could just help us better understand the dynamics both in Europe and, specifically perhaps, better understand Europe relative to Mexico otherwise. Small as it is, I’m just curious on what you're seeing in those markets and perhaps the relative performance of the European business versus business in Mexico.
Glenn Chamandy: This is Glenn. I’ll answer the question. Our European business is growing quite successfully as is our Mexican business. We increased our shipments in our -international and other markets by 55% in the quarter, which is another major increase. And we've had a huge increase last quarter as well. We have huge momentum. Again, our momentum is going to be function of our availability of capacity to service these markets. And that's what we’re wrestling with right now. And there's also room in these markets for additional price increases as well. One of the things that maybe we should note: people are focused today on the price of cotton, which has gone up. But there's another phenomenon that's happening right now is that there's actually yarn shortages in the marketplace. In the United States market, there's been a significant amount of capacity that’s been taken out of the yarn market during the downturn. And today there is a significant shortage of yarn to the point where people cannot increase their capacity because of the lack of yarn available. And in Asia, the situation is even worse. In Asia today, the yarn prices have increased by 61% since November. So yarn, if you took a yarn count, let’s say for example, that was trading at about $2.50 a kilo in November is now selling over $4.10 to $4.20 a kilo, which is huge inflation on products coming from these other areas, which is ultimately going to give Gildan, we think, a significant competitive advantage. In the wholesale market and in the retail market, because of the lack of capacity available worldwide today, retailers are actually sending letters out to their manufacturers and asking them to confirm if they're going to actually make the back-to-school shipments because of the fact that there's such shortages of yarn. Or they’re using that as an excuse because of the higher prices and they're not supporting or making their commitments to the retailers, even this season. So overall, we think we’re positioned in our European, our Mexican market, as well as our North American and retail markets.
Kenric Tyghe - Raymond James Ltd.: In terms of any specifics on the competitive dynamics in Europe, just wanted to touch on that as well, whether you're seeing any change by way of, either within the distributors within the market or against your key competitors there?
Glenn Chamandy: No, it's really the same. We haven't seen any changes. I mean, we've taken significant market share this season. And as we continue to ramp up our Bangladesh facility, we think that's going to give us further competitive advantage in Europe. And we think we're going to gain more market share because of it. And that was one of the strategies behind our acquisition, not just for Europe, but as well as for Japan, China, Australia and the other markets in which will be supported from our Bangladesh facility.
Operator: And your next question comes from the line of Hugues Bourgeois with National Bank Financial.
Hugues Bourgeois - National Bank Financial, Inc.: Most of my questions have been answered. Just maybe one on the biomass. I was just wondering what the cost saving would be once this biomass facility in the DR is operational and once the full program is operational. And maybe another way to ask this question is: what will be a sensitivity to fuel post these programs?
Laurence Sellyn: The biomass project will lock in our feed stock prices at equivalent of lower than $30 a barrel of oil. There'll be some slight increase to that relative to the cost of actually shipping the biomass to our facility, but it’ll be relatively close to that ballpark. And the savings on the project is north of a 40% return on the investment.
Operator: And your next question comes from the line of Omar Saad with Crédit Suisse.
Omar Saad - Crédit Suisse: I wanted to just follow-up on the price conversation. It's a little bit of a change from what you've been talking about the last few quarters. Can you talk about what gave you the confidence to be able to make a price adjustment? I know the cotton costs are higher and there's some cost pressure, but given the competitive landscape were there some irrational competitors that dropped out? Was there some signaling going on in industry? What gave you the confidence now to take prices up?
Laurence Sellyn: Omar, I don't think this is changed from what we’ve said before. We did say in the last conference call that if cotton costs firmed up from the higher levels that they're at now, we felt that market conditions were conducive to be able to pass through higher costs, cotton costs, into our selling prices.
Omar Saad - Crédit Suisse: Do you think the market conditions as the recovery takes hold will be favorable to take price above and beyond input cost increases?
Laurence Sellyn: Look it, we're going to go very slow. We need to manage the marketplace itself. We don't want to knee-jerk and just raise prices based on the opportunity on hand. And we just got to be careful that we continue the momentum. And what our objective is, is to make sure we see a significant market comeback. And our objective will be to increase pricing to cover additional costs, but that's about it.
Glenn Chamandy: And the other important factor is that, as we went through, we are expecting significant cost reductions in 2011 from a number of different areas that we went through. We’ll have the benefit of having fully ramped up our sewing facilities and ramped up our Rio Nance 4. We'll have the benefit of biomass. We'll have the non-recurrence of inefficiencies due to the earthquake and other manufacturing efficiencies. So we won't raise -- we'll be able to achieve our financial objectives through our cost reduction and volume increases rather than having to further raise selling prices.
Omar Saad - Crédit Suisse: And could you also talk about the developments in end-market demand? Obviously, the industry grew, looks like for the first time in two full years, which is great. Can you talk about, like we dig into the true end-market user, what your sense is for what's going on there? And is this change in trend sustainable?
Glenn Chamandy: Well, we've never seen a downturn as severe, obviously, is the one we saw in 2009. During the recession of 2001, the market declined by 5% and the following year, it bounced back. And it was back up to pre-recession levels. Because of the severity of this recession, obviously, it’s going to take a little longer. But we're pretty confident that the market will come back. And April's a good sign of another good month in terms of the recovery. And the user demand basically, T-shirts are a big part of the culture. I mean I was watching the hockey game. Montreal was playing Pittsburgh. Every fan in Pittsburgh was wearing a white T-shirt. So it's part of the lifestyle and we think that there'll be a recovery.
Laurence Sellyn: And as we said earlier, Omar, as the market does come back to historical levels, we're still at approximately 20% below the peak volumes three years ago. So that gives us significant upside at our kind of current higher levels of market share. If we had 2007 levels of overall industry demand today, that would have translated into over another 1.5 million dozens just in this one quarter, not including the impact of distributor restocking to service that higher level demand.
Operator: And your next question comes from the line of Candice Williams with Canaccord Genuity.
Candice Williams - Genuity Capital Markets: Could you help us with the tax rate a bit here? It seems to be lower yet again. Can we assume that all of the retail programs now fall under your wholesale tax structure outside of Barbados?
Glenn Chamandy: Well, we have more functions being carried out in the U.S. in retail than wholesale, which results in a higher tax rate for retail. But we're still confident that the composite of the two over the next three or four years will average out to something like a 5% overall consolidated tax rate.
Candice Williams - Genuity Capital Markets: And then just trying to get an idea of what the cotton is doing to your costs and how much prices would have to go up. You’ve got inventories down on a unit basis, but up 10.6%, so we know there's probably at least an 11% increase in cost base based on $0.63 cotton level. What kind of price increases, I mean, the 1% price increase that appears to be necessary to offset $0.63 cotton? Can we be just using those $0.03, $0.08 sensitivities to see what you need to offset a $0.75 cotton level?
Laurence Sellyn: Well, we need something like a 4% increase in activewear prices to offset a $0.10 per pound increase in cotton. 10x 3 is 30, 4x 8 is approximately 30. So that's what we need. But as we said earlier, we would look to achieve our margin and EPS growth objectives by a combination of volume growth and significant further cost reductions and not necessarily increase prices to fully offset the increase in cotton.
Candice Williams - Genuity Capital Markets: And can you give us, this is the last question, a bit of an idea of how gross margins are running or expected to run following the full ramp up of Rio Nance 4 on the sock versus the activewear side?
Laurence Sellyn: Well, I mean, obviously, we're going to achieve significant benefits from ramping up Rio Nance 4. And we've always said that our objective when we've completed the ramp up and consolidated our sock production is to achieve gross margins results that are comparable to the gross margins we’re achieving in activewear.
Candice Williams - Genuity Capital Markets: So by the end of 2011, we can see them as sort of equivalent on a gross margin basis? Should that be our expectation?
Laurence Sellyn: That should be our objective, yes.
Operator: And your next question comes from the line of Andrew Burns from Thomas Weisel partners.
Andrew Burns: Follow-up question on the price increase. Do you see your pricing adjustments changing the market share dynamics in any way? Possibly favorably, given the increases below cotton costs, the actual cotton costs impact, what's the competitive response going to look like do you think?
Glenn Chamandy: Well, the competitive response is to match the price increase because everybody is, obviously, feeling the same type of cost pressures. And the increased price to the end user is going to be within the $0.10 to $0.12 per unit cost, let’s say for example, on a basic T-shirt. So if you look at what the wholesale price of a T-shirt is relative to the retail price, it’s still not that significant and should be able to be passed on quite easily, even to the end-user. And all the manufacturers are forced or have the same inflationary pressures on them due to the high price of cotton.
Andrew Burns: And given your inventory position and capacity constraints, do you believe outsourcing some manufacturing is going to allow you to meet all demand? Or is there the potential for sales to be limited instead of just a gross margin issue? Or is there a sales limiting factor there?
Glenn Chamandy: Well, the outsourcing is just a one-time thing to deal with a short term seasonal issue. We're ramping up our vertically-integrated production in textiles, sewing, socks and distribution to be able to fully meet demand on a vertically integrated basis. We did lose some production in the short term because of Haiti. Following that, we expect to be able to fully service our forecasted demand in the third quarter, although we're limited in our ability to take advantage of upside in the third quarter. But by the fourth quarter, we expect to have built up our capacity and our inventories sufficiently to be able to take advantage of any upside, if it materializes.
Operator: And your next question comes from the line of Tal Woolley with RBC Capital Markets.
Tal Woolley: If you've got retailers seeking confirmation of delivery from their customers heading into the fall season, just wondering how pricing discussions are with retailers right now given the movement in cotton and other things you’re seeing.
Glenn Chamandy: Well, if cotton remains at this type of level, retailers from what we understand right now who are getting faced with the price increases. So it’s not just the price of the cotton that’s gone up, it's actually the total supply and demand balance, let's say for example, because a lot of products that serve as retail come from Asia as well. And there's been significant price increases, like I said, the yarn in Asia's gone up 61% since November so people that are sourcing from Asian countries, for example, are going to have much more significant increases or price pressure than we have domestically here, let's say for example, with just having to deal with the price of cotton. So it's definitely going to play favorable for us because every time somebody goes and offers or asks for price increases it creates opportunity for us to obtain additional programs. And if retailers get let down again that will be able to ensure and allow us to build relationships with them as a viable long term strategic partner.
Tal Woolley: Just about the sourcing, you sort of mentioned that you're using this as a one-time thing that backs up a shortfall in inventories. Just wondering if you're seeing good momentum across both your businesses in screenprint and retail, would you use sourcing more strategically to lay claim to share now, given that you will be expanding capacity in the future?
Glenn Chamandy: Well, it's easier to do it in socks, but in activewear there’s really nobody we could source the type of volume that is required. And we'll be back and running up to capacity. Our capacity is already running at a much higher rate, but we’ll be caught, let’s say for example, and be running at a 60 million dozen annual up run rate by Q4. And also there's a significant yarn shortage, like I said before, so it’s actually difficult to even increase capacity. We're utilizing our projected requirements and that's why we're able to increase our capacity. But even ourselves, we don’t think we can get much more yarn than we would be even to exceed past levels that we are today, based on the shortage in the market.
Tal Woolley: And how long until you think our shortage unwinds itself? I mean another growing season or.
Glenn Chamandy: Well, that shortage is not necessarily a cotton shortage. That shortage is actually a manufacturing shortage. So it’s the people that actually convert the yarn, the cotton into yarn, yarn spinning. So who knows how long it will take. It takes a long time to put assets back into place. Sometime it takes a couple of years to build new facilities.
Laurence Sellyn: Very capital intensive.
Glenn Chamandy: So it’s very capital intensive. And as business continues to be strong, this could be factored all the way through 2011.
Operator: And your next question comes from the line of Scott Rattee with Stonecap Securities.
Scott Rattee - Stonecap Securities Inc.: Again, international is going extremely well. I was wondering if you could sort of give us a little bit of an idea of how much in the international sort of just goes to the European markets.
Glenn Chamandy: Well, Europe is roughly I would say about 60% of our international sales, today.
Scott Rattee - Stonecap Securities Inc.: And I know it's sort of a smaller component, but could you may be give us a little bit of an update on the sort of traction that you're getting in the wholesale-direct market?
Glenn Chamandy: Well, that market is basically primarily supplying private label to our large printers. It's going okay. Because of our lack of capacity right now, we're putting all of our energy and focus on supplying our distributors. So we're really not pushing that, to be honest with you, right now this second. We’re not shying away from things we’ve committed to, but we're not actively going after any new business because we have so much demand in our distributor side that we need to fill that first right now.
Scott Rattee - Stonecap Securities Inc.: Just on overall sort of customer concentration. When I look for this quarter with the sort of three top customers, I was under the impression that the first one is still allocated to the wholesale segment. But are your second and third sort of largest customers, are those now in the Retail segment?
Glenn Chamandy: Yes.
Operator: And your next question comes from the line of Susan Sansbury with Miller Tabak.
Susan Sansbury - Miller Tabak: Glenn, has anybody followed you with respect to this 3% price increase effective July?
Glenn Chamandy: Yes, all of the competitors have issued price increases and matched the same type of pricing that we’ve made to the market.
Susan Sansbury - Miller Tabak: And across all parallel product categories.
Glenn Chamandy: Well, the price increase was on the main basic T-shirts, the three main styles in the channel. And it was a 5% increase on those styles, which is a weighted average of the 3%. We didn't raise all product categories. We raised the three basic T-shirts.
Susan Sansbury - Miller Tabak: And these are the whites?
Glenn Chamandy: The whites and colors, but our basic T-shirts represent 85% of the volume, but that's basically the basic two cotton, and one 50-50 T-shirt.
Susan Sansbury - Miller Tabak: Getting back to this worldwide cotton and yarn shortage. Does the cotton shortage correct itself in the next season? Or has a significant amount of cotton acreage been taken out of the equation?
Glenn Chamandy: Yes, the cotton is one small piece of the actual increase. I mean, cotton has gone from $0.65 to $0.80, which is only $0.15 a pound, let's say for example. The big increase has come from, especially in Asia, is actually because of the shortage of capacity to convert the cotton into actual spun yarn has inflated the pricing significantly on all garments being sourced from Asia. So those people that are sourcing from Asia are seeing significantly much more price pressure, let's say for example. What we do here is we have long-term strategical supply agreements. So what affects our cost structure is just really the fluctuation in the actual cotton itself. As far as cotton is concerned for next year, the planting in the U.S. is going to be significantly higher. China is going to be down, but I think what at the end of the day, it's all going to depend on what really happens in the economy because overall the cotton inventories have been depleted. And if business continues to improve, you'll see probably cotton trading in anywhere between the $0.70 to $0.75 range probably next year.
Operator: And your next question comes from the line of Doug Cooper with Paradigm Capital.
Doug Cooper - Paradigm Capital, Inc.: Laurence, on the outsourcing. You're going to outsource for the balance of this year and I'm assuming some in the beginning part of next year. And you said you’re going to do it at negligible gross margins. What kind of EPS impact do you think that'll have versus if you're doing it yourself?
Laurence Sellyn: Well, first of all, it's only one short-term thing that won't continue into next year. It will just affect probably our fourth quarter. And it’ll probably be somewhere between $0.03 to $0.035 range.
Operator: And your next question comes from the line of Claude Proulx with BMO Capital Markets.
Claude Proulx - BMO Capital Markets Canada: The product innovation award was it for your socks or was it for the new underwear that you're offering?
Glenn Chamandy: It was actually for activewear product that we’ve developed with the customer.
Claude Proulx - BMO Capital Markets Canada: The yarn shortage. Does it explain or partly explain those contracts that you got from back-to-school, where the lead time is very short. I mean, is it because of the yarn shortage in Asia?
Glenn Chamandy: No, the back-to-school promotion are based on the momentum that we have and the products that we're supplying to the retailers and their willingness to continue to promote and develop their brand strategy. I think the back-to-school piece in terms of the yarn shortage hasn't totally affected the market yet today. It's coming because people are not honoring a lot of their commitments basically because of the fact that they can't afford to supply product at the price they may be committed to, to retailers, let's say for example. Or they can't get the yarn. It's probably one of the two scenarios. But in either event I think the short term there's really not going to be a big plus because of it. But as we go into next year, and we’re working with these retailers, we can see that there's so much price pressure that there’s creating a lot of opportunity for us to bid and win on new programs that potentially will be available. And also if suppliers are not honoring their commitment to these retailers, the retailers won't rely on them in the future. And that creates opportunities. So either retailers are getting significant price pressure or they’re not getting the reliability on their source of supply. In both cases that bodes well for us because we are here building our relationships and we’re in control of our own manufacturing. We’re vertically integrated. Our effective supply chain in Central America, which is really the backbone for us to be able to deliver quickly and respond to the marketplace, is all part of our whole strategy, which retailers are buying. And more and more because of the issues in Asia, retailers are actually looking to source more products in the hemisphere, which all bodes well for where we’re positioned and our retail strategy.
Claude Proulx - BMO Capital Markets Canada: Staying on the same subject, I understand retailers don't source from the wholesalers, but is it possible that if the retailers cannot get their product from Asia that they buy from screenprinters? Or they end up sourcing or that some of the impact will be spilling into the wholesale market, is creating more demand from the wholesale market?
Glenn Chamandy: I don't think so because a lot of these products are unique to the retailers, short term. I think that the increases we've seen in wholesale are due to the bounce back in the economy and demand in the product, because a lot of the products that these retailers are requiring have their own unique labels or filling [ph] in some certain cases.
Operator: And this concludes the question-and-answer session of today's conference. I would now like to turn the call over to Ms. Sophie Argiriou for closing remarks.
Sophie Argiriou: Once again, I would like to thank all of you for joining us today, and we look forward to talking to you again at our next earnings conference call in August. Thanks, and have a great day.
Operator: Thank you for participating in today's conference. This concludes the presentation. You may now disconnect, and have a great day.